Operator: Good morning, ladies and gentlemen, and welcome to the conference call, the Presentation of Enagás Results for the Third Quarter of 2014. The figures were released this morning before the opening bell and are available, as always, on our website at www.enagás.es. Mr. Antonio Llardén, the Chairman of Enagás, will host the presentation. We expect the call to last around 15, 20 minutes. After that, there will be a Q&A session during which we will try to answer as fully as possible. Thank you very much for your attention and I will now hand the floor to Mr. Llardén. 
Antonio Llardén Carratalá: Good morning, ladies and gentlemen, and thank you for your attention. Today, we are presenting our results for the first 9 months of 2014, and they are in line with our objective. They were influenced by 3 factors: First, the figures for the third quarter have already been affected by Royal Decree-Law 8/2014 of the 4th of July. The impact of this new regulatory framework on the company's regulated revenue in the third quarter of the year is in line with the estimates that we made after the publication of the Royal Decree-Law. Secondly, and in order to abide by the international -- by the IFRS, consolidation by an equity method in 2014 of our investments in TLA Altamira and BBG plants in Mexico and in Bilbao are now done through the equity method. And therefore, the contribution to the company's results will only be reflected in net profit. And thirdly, we must highlight especially, positive contribution of the international assets, specifically, the Peru Gas Transporter, TgP.
 I'm going to mention to you the most important figures. Net profit in the first 9 months of 2014 amounted to EUR 308.1 million, so that's a year-on-year increase of 1.5% when compared to the same period of the previous year. Regulated revenues for the third quarter decreased by EUR 27 million with respect to the same period of 2013. That's a result, as we were saying, of the impact of the regulatory reform. However, we have succeeded in somehow cushioning the impact of net profit, or net profit of this decline in revenue, due to the following factors: First, we have intensified the company's operating efficiency and this will enable us to reduce operating expenses by EUR 5 million in the second half of the year. Secondly, the reform has brought back, as a stabilizing element, a lengthening of the useful life of assets, and this will reduce depreciation and amortization in the third quarter. As we said in the conference after the publication of the Royal Decree, the impact for a whole year with the -- of this new regulation will lead to a lower amortization of about EUR 40 million. And thirdly, the greater contribution of international operations is important, especially due to the inclusion of TgP, which began to be consolidated from April of this year. 
 Moreover, in the first 9 months of the year, Enagás invested EUR 546 million, a figure with which the company has met its investment target for all of 2014. More than 80% of this figure, or this investment figure, relates to international investments. In 2014, we acquired 20% of the program company TgP and 30% of Compañía Operadora de Gas del Amazonas, COGA. And moreover, we've started initial investments in the South Peruvian Gas Pipeline, where Enagás has a 25% stake. And also, in the European project Trans Adriatic Pipeline, TAP, where Enagás has a 16% stake. For this, Enagás entered into a consortium with a Belgian operator, Fluxys, for the acquisition of the equity interest of Total and E.ON in the company limited project for the Trans Adriatic Pipeline.
 Allow me to make a comment -- to make a -- to remember the death of Mr. Christophe de Margerie from Total. And on behalf of Enagás and on my behalf, I would like to send my warmest regards to his family and to Total for this tragic death. 
 And let's continue. This is the first time, when we talk about Fluxys, that 2 European operators, 2 TSOs, have undertaken a joint operation aimed at enabling the transmission of gas to Europe and thus strengthening the continent's energy security. This project fits perfectly into our core business and it consists of the construction of a gas pipeline with 871 kilometers' length, that will link Turkey and Italy via Greece and Albania, and you'll have an initial capacity of 10 bcms.
 This gas pipeline forms part of the so-called Southern Corridor. It will supplement the MidCat corridor project between Spain and France through the Pyrenees. Both projects are key priority projects for energy security in Europe, and are listed by the European Union as a Project of Common Interest, or PCI. Enagás can play a fundamental role as an expert company in the sector and as a TSO, Transmission System Operator, certified by the European Union. The TAP investment, as all of Enagás' investments, strictly complies with the 5 strategic criteria which we have established for our international investments.
 Regarding the financial position, this is still one of our main strengths, and that was confirmed by Standard & Poor's. Following the publication of the new regulatory framework, the agency ratified recently the company's BBB rating and its stable outlook. 
 The most significant financial data for this period are: A net financial debt at 30th of September of EUR 3.911 billion. This figure is up by 6% on the figure reached in June, due in fact to the investments made and to the payment of the complementary final dividend that we made in July. Secondly, we have a cash flow of EUR 2.347 billion. This allows us to maintain high solvency ratios and to continue to pursue our investment plan without reducing our financial flexibility. Thirdly, our debt profile of the company, that continues to be mostly at a fixed rate and at long term. We have diversified our funding sources and the capital market now accounts for 63% of gross debt. And fourthly, an average cost of debt, at 30th of September, of 3.1%, slightly below the annual target of 3.3%. 
 With regard to the evolution of natural gas regarding transit through the Spanish gas system that is not for domestic consumption in Spain, it rose by about 43% in the first 9 months of the year, and it now accounts for 24% of the total transported gas by Enagás. The total demand transported by the gas system that is -- that of transit plus internal demand or domestic consumption has remained stable with respect to the first 9 months of 2013. 
 Finally, as you all know, in October, the government approved the Royal Decree-Law 13/2014 regarding the Castor underground storage facility. As explained in the relevant facts made available to the market, through this Royal Decree, we cancel the Castor operating concession and we establish the hibernation of the facility. Enagás' role will be to keep the facilities closed during the hibernation. And for that, we will receive compensation from the gas system for the performance of this work. 
 For Enagás, this operation is neutral from a financial point of view. It does not affect the financial statements, it does not increase debt and it does not alter investment targets. Standard & Poor's and Fitch published reports where they confirm that this reform has no impact on the company's ratings.
 And before I finish, I would like to reaffirm the company's commitment to its investors, which is reflected in our dividend policy. Our objective is to deliver the dividend projected for 2014 and 2015. Thus, we will meet the target set in our strategic plan to increase the dividend at an annual growth rate of 6% between 2013 and 2015. More specifically, in 2014, this year, our commitment is to pay a dividend charged to net profit of EUR 1.30 per share. 
 The company's flexibility, soundness and capacity to adapt -- has been proven by the company, will enable us to continue keeping our commitment to grow and to create value for our investors and shareholders and employees.
 Thank you very much for your attention. And if you have any questions, please feel free to ask them now and the whole Enagás team here present will try to answer them as -- in as much detail as we can. Thank you very much. 
Operator: [Operator Instructions] [Spanish] The first question will be made by Javier Suarez from Mediobanca. 
Javier Suarez Hernandez: I'm Javier Suarez from Mediobanca. Three questions. First, regarding the national energy plan which seems to have been mentioned by the minister [ph] of state for energy saying that he would like to approve this energy plan before the end of the year. And I would like to know your opinion about what consequences this could have for Enagás and consequences for the presentation of your new business plan. And when do you think you will present this new business plan and what you expect to do regarding the payment of dividends for the next year. Second question has to do with the financial statement. I would like to know if you could tell me what is the debt level on EBITDA in which you feel comfortable, given that the regulator risk have been left behind, and we are at a total different phase in the company. So what net debt on EBITDA percentage would you be comfortable with for the next 4 years? And the last question has to do with international investments that are being taken place, which are relevant. I would like to know regarding the TAP project, how much you pay for the equity? And what is the return you expect to receive from this project? And how would you compare this project with ones that you have in Peru? 
Antonio Llardén Carratalá: Thank you very Mr. Javier Suarez, I'll answer your questions. First of all, regarding the first question, yes, I mean obviously we hope that there will be, towards the end of the year or beginning of next year, more information on the new National Energy Plan. Despite that, with -- due to our regular contacts with the regulator, we believe that the investments that, in our specific case, will have to be carried out in Spain due to this new energy plan are already met, you could say, or are quite limited. This one in the Canary Islands, the terminal in the border crossing with the MidCat, when the European Union gives us the green light, and a new link with Portugal through Samora. We don't believe there will be much more investment over the next 5 or 6 years. I'm sorry, this is quite really taken into account by our calculations. And that's why coinciding, if possible, with the presentation of results, we will carry out an update of the business plan which we are within the first lines. So we could include this CapEx commitments in Spain that we believe will have the same, in average, we could say, of about EUR 120 million, EUR 150 million per year for a period of 6 years, let's say. That's what we think will influence. And even though we don't want to advance any actions, we think beyond 2015, our dividend policy will be positive for the shareholders. But anyway, we'll talk about that when the time comes. Regarding the second element, the ratio of net debt on EBITDA, the average value of the moment of our target is about 4.2. But this 4.2 is not a magic number. We believe that everything we do is to keep our rating. And not going into details, we understand that maintaining the rating that Enagás has allows us to have certain margin from an overall, we could say. Anyway, we are within the margins that we mentioned. And regarding the international investment of TAP, due to a confidentiality issue that we signed when we ratified this project, we cannot give in public the amount that we paid. But I can tell you that this is a figure that regarding CapEx is quite small, less than EUR 100 million. And the return of this project, obviously in according to the strategic criteria that we have established, as it has been foreseen by the partners of this consortium that we are partnering double-digit returns for shareholders. And so we believe this will be very interesting profitability for our company. 
Operator: Next question will be made by Alberto Gandolfi from UBS. 
Alberto Gandolfi: Alberto Gandolfi from UBS. First of all, I would like to ask about CapeCat [ph] . That strategic approach is interesting on for Europe mainly. I'd like to know what do you think, Mr. President, about the interconnections in Europe, more especially because we have seen many -- we read that you've interviewed -- you've been interviewing the minister in order to -- we've read the minister saying that Spain wants to become a hub for Europe. So will there be a reclassification of LNG that will have better interconnections with France? The security of supply of Europe would improve if this were to be done. Could you talk about your vision for 3 to 5 years? How could we -- how could Spain integrate the rest of Europe? And which could be the assumptions of Enagás? Which would be Enagás' objectives regarding this? Secondly, could you talk more about the growth you expect for 2015? There is another -- a negative impact on the revenues with EUR 60 million because of the annualization of the regulation review, the CapEx since 2013 has reduced and is below EUR 200 million. So there are taxes, there are cost cutting, amortizations. So if I had to make a quick question, would -- do you expect growth in the net profit for 2015 over 2014? 
Antonio Llardén Carratalá: Thank you, Mr. Alberto Gandolfi. About the first question, yes, the EU policy, at least the one marked on the paper with the Project of Common Interest statement, is trying to once for all tackle the idea -- I'm talking about gas, of having a domestic market with a North-South -- South-North interconnections allowing 2 objectives. First, as you were saying, the security of supply. And another, which is very important, which is the real domestic market that will make each one of the countries and citizens that live in those countries and the companies that are settled and developed in those countries to have equal opportunities to access energy supplies, such as gas, which is less polluting and, in general terms, is efficient and cheaper. Here, interconnections have a major role. The EU has already defined 2 energy islands in Europe, or hubs, the Iberian Peninsula and the Balkans -- Baltic countries, sorry. So we have to try and make all this Europe having interconnections, eliminating these differences. It's true that the Iberian Peninsula with direct connection with the North of Africa and with 8 regas stations or plants, including the one of Sines in Portugal, that because of their nature, and their normal conditions, do not work 100%, but they've got still room. This could be one of the hubs that could complement the gas supply to Europe from and for different countries. Enagás can and is already playing a role. And we really trust that in some time, not too long time, we might -- we may be able to consolidate the third connection with France, which is what we call the MidCat. Enagás' role, which is modest, but which we believe can be very efficient, is being also played at the TAP consortium that we made reference to before, because these are 2 complementary projects that are going in the same line. And we're also playing this role in another area that can be useful for the EU, but also for other parts of the world, which is the loading and unloading GNL that we carry out in Spanish -- sorry, in Spain, but they're not consumed in Spain. But these are LNG downloads that are retransported to other points of the world. This movement that is taking place in the gas market in the world, while you have seen the figures that we have published in the -- with this presentation, up to September 30, we have loaded and downloaded more than 40,000 gigawatts of LNG. When last year, we already -- only had already 30,000, 31,000. So in 9 months, we've done more than last year. So there is another major role there for a specialized company in high-pressure gasoduct. And LNGs, such as Enagás is, can have this major role in the evolution of the world gas market. Regarding the second question, next year, we are going to have the full impact of the regulation in the full year, so we will see through the impact in the revenues that you might be aware of. Of course, we will have the positive impact of these stabilizers and the investments we are carrying out. And we also trust that when the new legislation, fiscal regulation will be approved, we will have there a positive impact. So these things together allow us to think that for next year, we will have a growth, slightly positive. But certainly, we cannot give you exact figures because these will depend greatly on the final -- fine tuning that we will carry out, not only when we will have all the fine tuned of the -- the fine data of the regulation, but also the approval of a new fiscal norm, which we believe will be approved or expect to be approved before the end of the year. 
Operator: Next question by José Javier Ruiz from Macquarie. 
José Ruiz: I have only got 2 questions. The first is, could you give us an update on what you're expecting in terms of growth of rig loading, taking into account that the -- 23% was seen last month. And the second question, would you consider -- would you be considering to be part of the joint venture, Fluxys is now -- where they're putting all their assets together, European assets? 
Antonio Llardén Carratalá: Thank you Mr. José Javier Ruiz, I will answer your 2 questions. With the reloading, it is very difficult to make forecasts in this kind of market because it is a very, very recent market. It's just 1 or 2 years old of age, and it's a market which is tightly related to the weekly evolution of prices. So it's not easy to make a forecast for the end of the year. In the last weeks, prices have been tightening in different world areas. And if this price convergence continues, very probably the volume of these market will reduce. But once having said that, it's very difficult for everybody to give some accurate figures for this new market, which is a very spot market. So it's very closely related to the weekly or even daily evolution of prices. With regards to the Fluxys and Snam joint venture, we have a very good relationship with Snam and with Fluxys -- especially with Fluxys. We've done this TAP operation together. We don't discard working again with them, but the alliance they have for the specific corridor that you were talking about, well, that's something that is already running. It's closed and it is very difficult for us to contribute there with any added value. So in that specific operation, we don't think that we will take a stake there. That doesn't mean that we might join with any of them in a future operation because we've got a historical record of working together. 
Operator: [Spanish] There are no more questions in Spanish. We pass on to the questions in English. The first question comes from Olivier Van Doosselaere from Exane. 
Olivier Van Doosselaere: Just had 3 questions on my side. I wanted -- I would actually like to come back to what was said about Fluxys and Snam. I was just wondering if you actually see -- do you see a large amount of potential for the transactions in terms of gas assets that would become available in the coming years for you and those 2 other players? And do you think there's a good chance that actually you would, kind of the 3 of you together, start to dominate the international scene in Europe in a coordinated manner? That would be the first question. Secondly, in terms of the numbers, then looking at the D&A, if you look at the fourth quarter, the first quarter D&A for this year it actually suggests that after the reform on a full year basis, you would have D&A at actually slightly below EUR 280 million. Is that something that we should take into our numbers from 2015 onwards? And then just a final one, a small one on the financial linked charges in the third quarter, they look to be particularly low. I was wondering if there was any one-offs in there. 
Antonio Llardén Carratalá: Thank you very much, Olivier. With regards to the first question, well, I probably answered it. We have a very good relationship with Fluxys and Snam. But of course, there are others TSOs in Europe. In France, there are 2 of them. There are other operators that are powerful, and we don't really foresee that on the medium short run in Europe we will have more operations. Yes, Europe has to improve these interconnections we were talking about before. But these are the 2 extremes, 2 energy hubs of Europe that the commission has detected -- the Baltic countries and the Iberian Peninsula. The rest of Europe is reasonably well connected with regards to gasoduct. So we don't foresee to have great activity, neither consolidation activities. In any case, we are, as a TSO, we do have an excellent --  great relationship, a constant contact with Fluxys now, but also Gasunie, with GRT. So we have got contact with all of them. With regards to amortizations and the regulation stabilizer, in my intervention I said that was estimated, the whole year impact, at around EUR 40 million. So in this Q3, I understand what we've done is to approximately -- well, with some nuances and some fine tunings, we have done the proportional part of that figure. When we will have the full year of running, we will have much more. While said this is evolution, but in rough figures, if you want to make calculations, we estimate that this amortization could represent EUR 40 million a year. And the interest rate of Q3, maybe the costs have been lower, and maybe due to the deconsolidation that we talked about before coming from the accounting rules. In macroeconomic terms, we understand that we are behaving correctly below budget. And I say that in Q3, probably the comparison is because of the deconsolidation. 
Operator: There are no further questions. Thank you. 
Antonio Llardén Carratalá: [Spanish] If there are no more questions, we shall finish this conference call. Thank you, everybody.